Operator: Good day. And thank you for standing by. Welcome to the Tripadvisor First Quarter 2023 Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Angela White. Please go ahead.
Angela White: Thank you, Alissa. Good morning, everyone. And welcome to Tripadvisor's first quarter 2023 financial results call. Joining me today are Matt Goldberg, President and CEO; and Mike Noonan, CFO. Last night, after market close, we filed and made available our earnings release. In that release, you'll find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed on the call. Also on our release, you'll find supplemental financial information, which also includes reconciliations of certain non-GAAP financial measures discussed on this call as well as other metrics. Before we begin, I'd like to remind you that this call may contain estimates and other forward-looking statements that represent management's view as of today, May 4, 2023. Tripadvisor disclaims any obligation to update these statements to reflect future events or circumstances. Please refer to our earnings release as well as our filings with the SEC for information concerning factors that could cause actual results to differ materially from these forward-looking statements. With that, I'll turn the call over to Matt.
Matt Goldberg: Thanks Angela. And thanks to all of you for joining us this morning. Since I first joined these quarterly calls last July, I have been focused on aligning our teams around a shared vision, reinvigorating our culture of execution, organizing ourselves to break down silos, building out a world class leadership team. Leveraging data to deepen our consumer engagement focus, accelerating our product development and investing to extend our market leadership and experiences. We are pleased with the progress we're making while delivering on our expectations for our financial performance. Our Q1 results were achieved as our new leadership team rallied the organization around our group vision to be the world's most trusted source for travel and experiences. We launched our strategy for Tripadvisor and engaged our employees on how we translate our priorities into an operating plan with tangible proof points while delivering on our revenue and margin plan. And we continued to deliver meaningful growth as the market leader in experiences at Viator and strengthened our European dining position at TheFork. We delivered year-over-year revenue growth of 42%, or $371 million and adjusted EBITDA of $33 million, or 9% of revenue in line with our expectations for the quarter and reaffirming our confidence in our plan for the full year. In a moment, I'll provide some tangible examples of our disciplined execution and the progress we're making against our segment strategies. But first, let me frame these results in the context of our strategy and illustrate how our focus is driving performance. We operate unique segments with their own strategies, each in different stages of growth, with different competitive dynamics, market opportunities and customer value propositions. In Tripadvisor Core, we're focused on delivering sustainable revenue and profit growth, by driving deeper traveler engagement that benefits our partners and fuels our diverse monetization paths. In Viator, we continue to accelerate our leadership position in experiences by investing in awareness, enhanced products and repeat bookings to capture more market share in this underpenetrated and high growth travel category. In TheFork, we're driving healthy growth with significant margin improvement this year by delivering value to both diners and restaurants in the European dining market. Starting with Tripadvisor Core, Q1 revenue was $244 million reflecting 28% year-over-year growth driven by our experiences in hotel offerings. On our last call, we set out our strategy for Tripadvisor Core outlining three areas of focus that we will continue to reference as we deliver our plan. Let's revisit these stated priorities. First, we will innovate around world class guidance products through more dynamic and diverse content formats, innovative Trip planning tools, and a mobile- first approach. Second, we will prioritize deeper engagement with travelers, meeting their decision making needs in a more personalized way, powered by data and technology while evolving our membership program over the long term to drive loyalty. And third, we believe that we can transform that engagement into more value for our partners. Today, we monetize only a fraction of our audience, largely through our Hotel meta offering. As we build a more engaged audience, we believe we can drive stronger overall monetization by further diversifying our business through our media and experiences offerings. This is a long term strategy and we're in the early days, but I'm pleased to report that we're on track in executing our roadmap for the year. Though progress will build over time, we're beginning to see important green shoots. Let me highlight a few examples. This past quarter, we rolled out some early enhancements to our user experience across the platform, most notably in how users navigate the home screen in our app, shop for experiences in hotels and submit reviews. While this is just a starting point, we're excited about the early indicators, including increases in shopper click through rates, decreases in bounce rates, and double digit improvements on review completion and photo submissions, all fundamental areas for our strategy going forward. Importantly, in some of our tests, we saw incremental lifts in our gross booking value and revenue for experiences, one of our critical growth opportunities. We began piloting our new content approach in select destinations, developing fresh guidance across multiple formats like articles, itineraries and collections. For example, in certain cities, a traveler can now discover the best places to stay, things to do, and where to eat by engaging with content that blends the voices and perspectives of real travelers with expert curation all powered by technology and our proprietary data. And as we suspected, we're finding that better content drives deeper engagement. Preliminary results show an increase in time spent on platform and page views. We made significant progress scaling our unified groupwide customer data platform, which now has over a billion data profiles. This is the foundation that will power our ability to display personalized search results, more effectively target customers and prospects, and build better audiences for advertising partners, among other use cases. We continue to drive changes within our organization to improve execution, including an aligned functional leadership structure with world class talent in new roles driving product sales and marketing and operations. We're already seeing the impact of our new operating model, which is driving increased velocity and product development, more flexibility to shift resources to align with our highest priorities, and streamlining our teams to generate a higher level of performance going forward. These examples are reflective of a more consumer and product led mindset that we will continue to build on quarter by quarter. I'm particularly excited about the work we're currently progressing at the intersection of trip planning and generative AI. What sets us apart in the industry is our relationship of trust with travelers. We understand that travel decisions are complex and good advice is hard to find, and we believe that we're uniquely positioned to bring together our large asset of proprietary first party data and authentic content with best-in-class large language models and embed them in the tools travelers need to fully plan itineraries end to end. We have distinct assets and capabilities, our brand trust, broad reach, signals of intent, quality reviews from real travelers sharing their actual experiences, and more, all of which we can leverage to reinforce our relevance in the travel ecosystem. Turning now to Viator, where we are accelerating our leadership position in the experiences category. We grew revenue year-over-year by 105% to $115 million, and reached over $800 million in gross bookings value. The strong revenue growth rate was driven by volume and better take rates, and we continue to see improvements in repeat rates of our customer cohorts. The market for experiences is large and growing, anticipated to reach just under $280 billion in gross bookings value by 2025, and a market that is still largely offline with only about a quarter of gross bookings transacted online today, but has continued to migrate online at a fast rate. Beyond these category tailwinds, we're investing in marketing to acquire new customers, to build our brand, and to drive awareness to the experiences category. We expect that over time, as our marketing efforts and expansion into other channels gain traction, we can drive strong unit economics. Our teams are focused on improving the UX, the app experience, product and technology and marketing programs for our suppliers. As a result, we're seeing ongoing improvement in conversion, take rate and app adoption. We're frequently asked about the advantage of having two brands in the market in the experiences category and what role each one plays. I'd like to share a few thoughts on this topic. Our experiences brands are complementary, allowing us to capture a broad travel audience across all the things to do on a trip, as well as going deep in experiences. At Viator, the world's leading experiences OTA, we provide travelers who are looking to book their next experience with an unparalleled collection of global tours, activities and experiences. For our 50,000 plus operators, we offer distribution on thousands of sites, reaching millions of travelers, including direct access to Tripadvisor's storefront. At Tripadvisor as the largest travel guidance platform, our trusted brand and reviews help build awareness and guide travelers to the right experience as part of their overall travel planning. It serves travelers higher up in the funnel, enabling us to reach audiences that Viator traditionally doesn't, introducing experiences as one component of an overall trip. Almost as many travelers come to us for experiences as for hotels or restaurants, and we have a significant opportunity to expose even more of them to bookable inventory. And the majority of those travelers come to Tripadvisor via free traffic, given the vast reach of the brand, which is an exceptional asset to help us drive our unit economics over time. We believe that our combined approach leveraging Viator and Tripadvisor for their distinct but complementary strengths and their large tams is a competitive advantage as we focus on creating the best user journey that matches growing traveler demand for experiences with the most relevant supply. Finally, at TheFork, we saw solid performance, reinforcing our position as a leader in the European dining sector. Revenue grew 35% year-over-year and 41% in constant currency driven by strong booking volumes. We're even more pleased at this activity when considering the less than ideal backdrop in Europe with the macroenvironment and other disruptions such as the recent strikes in France. As we balance growth with profitability adjusted EBITDA margin improved year-over-year. We're continuing to drive value to both restaurants and diners. On the restaurant side, we saw improved productivity and discipline across our sales teams that we believe will help us grow from our current base of over 55,000 restaurants. We're also delivering analytics that demonstrate a clear return on investment for restaurant owners, which helps drive restaurant acquisition and retention. On the diner side, we're seeing higher share of new customer acquisition through our app versus the web and app download volumes that are nearly double 2022 levels. We know that diners who come to us through the app have a higher lifetime value and much better retention, giving us confidence in the value we're driving for customers. Over the last year, we've observed consumers prioritizing their discretionary spend in travel and experiences over other categories despite the macro uncertainty. As we prepare for the upcoming peak travel season, we continue to see positive signals of intent in our own data that we find encouraging. While travelers are just starting to kick off the peak planning period for summer holidays, summer travel intent is already significantly higher than last year at this time by advanced planners. Our data also suggests that share of international travel intent is returning to pre-pandemic levels in the US and EMEA and APAC intent to travel is more than double than last summer. We're also observing an increase in experiences searches year-over-year, particularly in Europe. Of course, there remains ongoing uncertainty about the macroenvironment. Regardless, we're focused on the things we can control, executing on our strategy, and delivering on our plan for each of our segments. As I close out my remarks, I want to thank our teams for their growing engagement levels and energy for the work we're fortunate to do together every day. As I travel across our offices to discuss our strategic priorities and execution plans, I continue to be impressed with our team's curiosity, action orientation and passion for our purpose, all grounded in the relationships we build with travelers as they navigate their travel decisions and connect to our partners. We are confident in our progress and look forward to keeping you updated in the coming quarters. With that, I'll turn the call over to Mike.
Mike Noonan: Thanks Matt, and good morning, everyone. I will review the results of the first quarter, including segment commentary, and provide some color on the trends we are seeing in the second quarter. All growth rates for 2023 are relative to the comparable period in 2022 unless otherwise indicated. Now on to Q1, we delivered results that were in line with our expectations. Consolidated revenue was $371 million reflecting a 42% growth rate, or 46% on a constant currency basis, and adjusted EBITDA was $33 million, or 22% growth rate, and represented a margin of 9%. Our results reflect a healthy travel environment, particularly in the experiences category where we continue to lean into a very large market opportunity. Turning to the segment performance for the first quarter Tripadvisor Core delivered a strong quarter with revenue of $244 million which represented 28% growth. Branded hotels grew 24% with solid execution in both Hotel meta and our B2B offerings. In Hotel meta, the quarter was helped by an easier year-over-year comparison in January and to a lesser extent in February due to omicron. While March grew at a more normalized level. Hotel meta performance was consistent across regions, with some higher growth in APAC given the broader opening of travel in the region. We saw particularly strong performance in experiences and dining, which grew 65% in the quarter. This was due to growth in our experiences revenue, which was up over 100% in Q1, primarily driven by marketing investment as well as improvements to conversion rates. These improvements were largely related to better presentation and matching of experienced recommendations to our customers. Display and platform grew 15%, which was impacted slightly by the timing of several new media deals as backlog in the quarter remained strong. Our other revenue grew 30%, driven by growth in our cruise offerings, which has seen strong performance as the cruise industry continues its recovery. Adjusted EBITDA in Tripadvisor Core was $72 million, or 30% of revenue, just above 29% of revenue in the same period a year ago. The slight margin improvement was driven by fixed cost leverage despite sustained performance marketing spend to drive experiences growth. At viator revenue was $115 million, reflecting growth of 105% or 115% on a constant currency basis. Gross Booking Value, or GBV was over $800 million and exceeded expectations. Revenue growth was high than GBV growth, primarily due to increased take rates year-over-year. The increase in take rates is due to greater adoption of our programs that allow suppliers to advertise more effectively on our platform and to a lesser extent, an increase in mix shift towards non-US destinations. Additionally, this quarter we saw a step up in average book windows compared to both last year and Q1 of 2019, which we believe is reflective of a continued healthy travel market. Adjusted EBITDA loss for the Viator segment was $30 million, which represents year-over-year margin improvement primarily driven by leverage and people cost. Sales and marketing expenses as a percent of revenue increased year-over-year, primarily due to the start of our brand campaigns in the second half of 2022 and will continue in 2023. We saw leverage in performance marketing costs as we continued to diversify our acquisition channels outside of traditional stem. As a reminder, total sales and marketing expenses incurred in period generally benefit recognized revenue in future periods. We like the returns and unit economics improvements we are seeing and are leaning into the large experiences opportunity through sales and marketing investments to drive new and repeat customer bookings that can further accelerate share gains in this attractive market. We are encouraged by recent cohort performance and believe our investments will create a large repeat customer base over time that can ultimately drive very profitable business for us at scale. Our repeat customers who book at a higher average item value than new customers often return to us through free channels at higher rates than our new customers are, and are therefore more profitable. As repeat customer bookings become a greater share of our total bookings, we expect to drive more and more leverage. Further, we believe that as we build brand and awareness and drive more direct and new and repeat customer bookings, customer unit economics will continue to improve. In the near term, we are investing to build a large customer base, deliver more value to our suppliers and improve our product. At TheFork, revenue in Q1 was $35 million, reflecting year-over-year growth of 35% and 41% on a constant currency basis. Performance was driven by year-over-year bookings growth of approximately 24% and healthy growth in revenue per booking. We were pleased with this performance considering the disruption in France from the recent strikes and other macro volatility in Europe. Adjusted EBITDA loss for TheFork was $9 million, which represents improved margins year-over-year and was primarily driven by leverage in people costs and to a lesser extent a onetime cost benefit in cost of revenue. This leverage was partially offset by the timing of planned brand investments between Q1 and Q2 this year versus last year. Turning now to consolidated expenses. Cost of revenue levered by about 60 basis points due to greater headcount absorption in our Viator brand. Sales and marketing expenses de-levered by about 525 basis points, primarily due to increase in Viator marketing spend, including brand which more than offset leverage in people cost. Technology and content and general administrative expenses levered by approximately 450 basis points, primarily driven by people costs. Consolidated adjusted EBITDA in Q1 was $33 million, or 9% of revenue, compared to 10% of revenue for Q1 of last year. Now on to our cash and liquidity position. Free cash flow for the quarter was $119 million which is up meaningfully versus $72 million in Q1 of 2022. This year-over-year improvement was primarily due to an increase in cash received in advance from customers for experienced bookings within deferred revenue and deferred merchant payables. We ended the quarter with a strong balance sheet with just over $1.1 billion in cash. Moving to recent trends and thoughts for second quarter. As a reminder, Q2 is a tougher year-over-year comparable period as last year we witnessed a surge of travel demand as we emerged from the impact of Omicron in Q1. As such, we are expecting growth rates to moderate through the second quarter of this year Tripadvisor Core revenue saw low single digit growth in April, which we expect to closely mirror growth for the quarter. For Viator revenue, April growth rate was over 60%, which we expect to step down meaningfully through the quarter as we move into a difficult compare versus last year. For TheFork revenue, we saw a little over 20% growth rate in April, and we expect this to be fairly consistent through the quarter. For Q2, consolidated adjusted EBITDA margin, we're expecting to see a sequential seasonal improvement in margin, but about a six to eight point step down year-over-year. Contributing to the margin headwind is approximately three percentage points due to a COVID subsidy benefit of approximately $11 million in TheFork and a onetime non-income related tax benefit of approximately $2 million in Tripadvisor Core, both recorded in Q2 of 2022, with the remaining impact of approximately three to four percentage points due to primarily the investments in Viator growth in marketing and brand spend. For Q2, adjusted EBITDA margin at Tripadvisor Core, we're expecting to see a sequential seasonal improvement, but about a six to seven point step down in margin year-over-year. This is largely due to a difficult compare and was anticipated in our margin expectation for the full year. A little over half of the margin step down is due to the impact of phasing of hiring last year as headcount increases were weighted to the back half of the year. This was magnified by a stronger sequential increase in revenue from Q1 to Q2 in 2022 as we emerge from Omicron versus this year's expected sequential pickup in revenue. The remaining margin pressure is due to increased investment in performance marketing to drive experiences growth as well as the aforementioned cost benefit in Q2 of last year. We are reaffirming our expectation for the full year of 2023 adjusted EBITDA margins for both consolidated and Tripadvisor Core to remain approximately flat with 2022 margins. Our outlook remains consistent with expectations a few months ago. To conclude, we believe Q1 was a solid quarter and we are on track to deliver expectations for the year as we continue to manage the business that reflects our segment strategies. With that, I'll pass the call back over to the operator for Q&A.
Operator: [Operator Instructions] The first question comes from Lloyd Walmsley from UBS.
Lloyd Walmsley: Thanks. I have kind of, I guess, a two part question on generative AI. And I guess the first part is just like, it seems like a huge hurdle territory to reinvent travel planning. You guys seem like you have a lot of good assets to put to work here. So anything more you can share on? Just like how you're thinking about creating new product experiences using that, and like how big of a team do you have focused on this? And the second part is just kind of on the more defensive side. It also seems like something that could open the door for new applications from other people. So what steps are you guys taking to protect your content from getting crawled and used by other players? Like what are you doing? What can you do? Anything you guys can share there would be great. Thanks.
Matt Goldberg: Thanks Lloyd. Appreciate the question. And of course, generative AI is such a hot topic, as we all know, and we've been focusing on it since day one. Generative AI and the advances in large language models, it's such a meaningful advance in technology, and we think it's going to have a significant impact in all areas of society. And so there's a lot of use cases out there. Things are moving really rapidly. I think there's a lot of questions to answer. And I think our primary point of view is that the companies with well established brands, large assets of data communities that trust them, are really well positioned to utilize generative AI to capitalize on that position. And we intend to do that. So we have a long history with AI and we have a substantial team working on this. We made the decision that we weren't going to go chase the early headlines. We wanted instead to work on something that would really leverage what's unique about us. What capabilities do we have and how can we deeply integrate it into our product strategy for the long term? As you know, we developed a strategy where generative AI actually creates an incredible opportunity for us to differentiate. People come to us for guidance, and we think that the technology can help us supercharge that. And of course, we can deliver that in context. And so as we unlock the value, we're thinking about how does the technology integrate into our UX? How do we embed it into the product experience and drive engagement? We think it can be accelerant to be an accelerant, and ultimately, we want it to be in the tools that travelers use to fully plan their itineraries end to end. I mentioned the importance of our relationship of trust. There's certainly a lot of people experimenting with generative AI. I think those who can deliver results that are meaningful and reliable and do that at scale are going to be in a good position. And we just think that the baseline of the, I mentioned the billion data profiles. That is a great start for us to do it. But as with any technology, there's a lot of iteration. There are going to be areas of opportunity beyond product. And I think about productivity improvements. I think about certainly we can accelerate how fast we move, it's super early. We're going to iterate and learn. And I think that when we think about our content, we have choices about who gets to crawl and index our content and under what terms. And so we'll always be thinking about how to take the content that we have that's valuable and make sure that we are rewarded for it in the right ways. So, again, we recognize both the opportunity and the questions that need to be answered. And we're going to be saying more about this quarter by quarter.
Operator: Our next question comes from the line of James Lee from Mizuho.
James Lee: Great. Thanks for taking my questions, two, here. Can you guys talk about maybe ADR trends by geography? What are you seeing in terms of hotel pricing in the major region you're operating? And also second thing Viator, sounds like you guys are making good traction on advertising. How should we think about the opportunity of that business advertising in terms of takeaway over the longer term? Thank you.
Mike Noonan: James. I didn't catch that second part of the question. What was that?
James Lee: Second part is the advertising takeaway for Viator. How should we think about that for long term of the business? Thanks.
Mike Noonan: Got it. Okay. Yes, I'll take the first part on ADR. So, really, I guess the question is kind of what are we seeing in our primary hotel auction and B2B business? I'd say Q1, we certainly saw very healthy volumes and pricing, and that was largely on a year-over-year basis, a lot driven by the easy compare. And we did see those step down right as we move through the quarter. We have seen a period of pricing has been pretty stable. As we move through Q2, we are expecting volumes to come down, right, as we move through that tougher compare with pricing, to be a bit more modestly up on a year-over-year basis. So what we're seeing in the hotel business is expected behavior on a year-over-year basis as we see as we move into our tough compare period and pretty much aligned with our expectations on that part. And then the second question.
Matt Goldberg: I mean you asked about advertising take rate in Viator. I would make the point that we have programs that are intended to help quality operators get the most exposure on our platform. And those programs are obviously delivering our take rate, and it's increasing. And that's because they are seeing performance and the teams are very focused on continuing to drive that. And I think we're really pleased with the number of operators that are taking us up on that. I don't think we've necessarily put any of those, we've quantified it in the past and I don't think we intend to. But what I would say is it's very healthy.
Operator: The next question comes from Jed Kelly from Oppenheimer.
Jed Kelly: Great. Thanks for taking my question. Two, if I may, just one on the core auction. Did you notice any difference in bidding behavior in certain geographies by some of your partners? And then then just moving back to the Viator advertising? A couple of things on that. How should we think about investing in two brands, Viator and Tripadvisor experiences? And can you give us any metrics around your CAC payback on Viator? Thanks.
Mike Noonan: Yes, I'll take the first one. As I said in my earlier comments to James, we don't comment specifically on obviously partner bidding behaviors other than to say Q1 was an expected quarter, and we saw pretty consistent to our expectations, which is strong volumes, but declining year-over-year, right, as we move through the quarter, as we lap, that comp and pricing still remain strong. The pricing year-over-year benefit, we do expect to moderate as we move into Q2, but as we see it, it was kind of an expected quarter from our auction business in general. So we feel pretty good about that.
Matt Goldberg: And on Viator advertising, I think what you're all getting at is the brand spend. And so obviously we've been investing both to acquire new customers, to build out the brand, to drive awareness in the categories. And obviously we're doing that because we're very excited about the shift we're seeing in the potential for stronger unit economics. And so what that means, first of all, we're always going to have fiscal discipline when we evaluate brand spend, and we're going to look at the data, and the data is suggesting that our awareness and consideration are growing. We're getting a really strong indication from brand search SEM clicks and it represents a more efficient path to be thinking about mid and upper funnel as we also think about that lower funnel. So we like what we see there. We're always going to be looking at the data and we will optimize what we think will drive us to leadership in the category.
Mike Noonan: Yes. And I guess the last part of your question was on kind of like paybacks LTVs. We're obviously not going to comment on that level of detail. I would just say, Jed, we're very focused on what unit comments look like in this category and they dictate a lot of ways how we think about our phasing and how we spend both in performance channels as well as in brand. And again, I think continue to leaning into the opportunity because we continue to see good unit economics. As you know, we do think about these things on an LTV basis as we look at and a key metric is that repeat rate as to the things I highlighted in my pre-prepared remarks, we like the repeat rates we're seeing. They're improving. We like how they're coming back to us through channels that are either free or at a much more efficient basis. Creating that sticky client base is very important. So we do see the investment, the upfront investment, the merits of the upfront investment versus the payback larger down the road. And I think that we know that scale is really important in these businesses and it's really important in marketplaces. And as we drive to scale benefits, we feel pretty strongly that those are important for long term winning in this category and we'll continue to kind of view it that way.
Operator: The next question comes from Mario Lu from Barclays.
Mario Lu: Great. Thanks for taking the questions. The first one is on Viator. You mentioned April growth is over 60% but expected to step down the next couple of months. So just curious if you could give some color on last year's spend. How much of a tougher comp was May and June compared to April?
Mike Noonan: Yes, I would say May and June was when we really start picking up into the main season for the experiences by sometimes that's closer in to become longer out. So last year was a meaningfully tougher compare in those two months for Viator, which is why our commentary of April was still very healthy growth rate, but expected to moderate as we move through the quarter. And a lot of that again is just seasonal buying last year for the product. So not really providing more specific color on a month by month basis than that, but we are expecting it to moderate as we move into the quarter.
Mario Lu: Great, thanks. And in terms of the full year EBITDA margin guidance, good to hear that it's being maintained flat year-on-year for core in total. Just curious, is there any kind of level of revenue growth kind of embedded in there to kind of hit those targets? Thanks.
Mike Noonan: Yes. So on our last call, we said that we had a target to grow in line with broad industry participants and markets, which we did further clarify. That was kind of mid-teens, around 15%. We haven't updated that, but our position hasn't changed in that. So we still feel, again, as both Matt and I emphasize, executing on plan that we outlined a few months ago.
Operator: The next question comes from the line of Stephen Ju from Credit Suisse.
Stephen Ju: Right. Thank you. So I think in your prepared remarks, you talked about improvements rolled out to Viator in terms of the presentation and I guess partly what the consumer is seeing in the search results. So can you elaborate on that a little bit? Because it seems like improvements like this don't just end in one quarter, but continue to, I guess, get you benefits on an ongoing basis. Thank you.
Mike Noonan: Hey, Steven. I'll kick that off. And Matt can provide any additional color. So, just to clarify, the comments were related to what we're seeing in Tripadvisor Core experiences, right. And around conversion improvements. And I think what's important there is that we are excited about. And Matt talked about this in the call. We're excited about what this channel can do as we think about our overall experiences opportunity. And that comes in a couple of forms. We did say that our ability to monetize a massive traffic base that we have here at Tripadvisor is very important. And we're doing that primarily through free traffic in our Tripadvisor Core channel for experiences. So that traffic, that free traffic, our ability to attract that free traffic when the experience is product is very important. That's one. Two, getting directly to your question around conversion improvements. I think what you're seeing is that as we continue to think about our experiences opportunity as a whole, we're looking at both channels Viator and what we're doing at Tripadvisor Core, right? And because you can book that product on Tripadvisor Core and are really thinking about porting over different wins at different channels and how we think about conversion improvements across both channels. And so I think the comment is reflective of us being able to look at some improvements we've had at Viator and applying those at our channels at Tripadvisor Core. And we're excited to see that things around how we're getting better at a Tripadvisor channel to present the right experience to the right individual improves on conversion rates. So this is just the hard blocking and tackling of funnel optimization that we're excited that we are making progress there.
Matt Goldberg: Yes, Steven. It's Matt. And I just wanted to add the reason I wanted to share those particular examples is because I wanted to give an update on the strategy, we set out for Tripadvisor and really convey that we're executing against that strategy. We're on track and it's flowing into the way we're leveraging data. And you know, that data is so fundamental to where we're going to go with this strategy. We can see the impact in our user experience and then we can see the way that we're able to accelerate this stuff. It does connect very nicely to Viator. And of course, Viator is fundamentally focused on making sure that more people know about the category come to Viator when they come in, we want that experience of booking to be easy, enjoyable. We want them to come back to us, download our app. And finally, we want to make sure that that demand is delivering the kind of value that we expect to deliver to the supply side and the way that we are aligning the two to work together, we're enthusiastic about the advantage that it creates. So that's why I wanted to share those with you today.
Operator: Your next question comes from Nat Schindler from Bank of America.
Nat Schindler: Yes, hi. Just a bit of clarity. You're saying that you were expecting adjusted EBITDA margins to be similar to what they were last year. Just under 20% is where you were, and if you look at this quarter, a little under where you were last year because of excess spend on growing Viator. Totally understandable. Next quarter, though, you're calling for both Core, Viator and TheFork, all to be quite a bit lower than last year for, as you said, various reasons, including some COVID payments. Does that mean the back half is quite a bit higher? Like a lot higher?
Mike Noonan: Yes, I'll take that. No, we don't think it's a lot higher, right. I think, first of all, I would say this year it's slightly more weighted to the back half. Not tremendously different from last year, but a little bit more weighted, I think, on a consolidated basis. A few things driving that, right. One is that you're going to have both expectations around Fork and Fork and Viator of having margin improvement, right. So I think that's a big driver in that, particularly TheFork in that kind of second half kind of margin improvement. Then secondly, I would say just on Core, we are, that's really not around an auction story, but it's really around some of our higher margin businesses expectations to continue to make progress as we move through the year. That being media, b2b. So we don't see that this is a dramatic shift versus last year versus first half, second half of last year. But there are some slight moving pieces there that do make it slightly more weighted to the second half.
Operator: The next question comes from the line of Doug Anmuth of J.P. Morgan.
Unidentified Analyst : Great. Good morning. This is Dan for Doug. Thanks for taking the questions. We have a follow up question on Viator brand investment. So do you have any early learnings that you can share around the effectiveness of this brand spend and how do you feel about your brand spend currently? Is it at an adequate level or do you anticipate additional ramp going forward? And as a follow up, high project for EBITDA, is there any way you guys could frame like when you expect that to become just EBITDA profitable? Thank you.
Mike Noonan: Okay. Yes, I'll take at least start both those and Matt can chime in where need to. So on the Viator brand spend, I think we're looking at this as a very, on a very disciplined basis. And we look at brand spend across a lot of different dimensions very much kind of at the micro and macro level. At a macro level, we clearly are investing to drive awareness. And that is, we're constantly measuring that, right. And those are things you can do through unaided and aided brand awareness surveys, which we do. We like what those metrics are telling us. From the more of a micro level and thinking about effectives of brand spend, we look at a lot of different metrics because brand spend is an investment today that does help future periods, right. And we should see over time, improved conversion rates, which we're seeing. We should be seeing increased brand SEO or brand searches which we've seen. So there are a lot of different metrics which we use to evaluate effectiveness of the brand spend. And we use all these tools at our disposal to do this, because we do recognize brand spend is tricky. So, again, along those dimensions, we continue to like what we see and we'll continue to deploy brand spend. Again, we started this in the second half of last year. We are expecting to continue to campaign this year based on, again, what we're seeing there. The second question, which is around long term margin, our long term margin or I guess your question was really more on when to expect profitability. I would say last year we were profitable in the kind of the second half of the year or the third quarter of the year. And as we said, just to reiterate some of the points we made in our call in February, as we think about this brand, first and foremost, we think it's a great opportunity for us and a huge market. And we do think that scale matters, as I said earlier. And we'll continue to look at customer acquisition to build a very large repeat customer base. And that is what scale will ultimately drive very profitable business for us. And we do think that this business should have very healthy long term margins when we achieve scale. I think what's going to dictate that is as long as we continue to see healthy unit economics and we've already reviewed all the things we look at these around that. We're going to continue to kind of invest in that area, but we're going to manage it with a line of sight towards profitability. And as we said in our call in February, we're expecting the Viator margin to be approximately flat. And I think that aligns with how we're managing this, which we think is again, capturing customers with the proper unit economics, but then also having an eye towards that profitability level.
Matt Goldberg: And I would just add our strategy is to be a winner in these very meaningful experiences category. And we believe that these investments are optimizing long term shareholder value. We have the scale in this business right now and frankly, improving unit economics, where profitability does become a choice. We want to make sure that in an environment where the consumer is becoming aware that this category exists and is leaning into it, we're there to capture that demand, to grow our market share and to be a long term winner that we think will be very valuable.
Operator: The next question comes from Ron Josie from Citi.
James Michael: Hi, there. This is James Michael on for Ron. Just one for me. Could you talk a little bit more about the enhancements you're making across the home screen and maybe how the core user experience is involving, what features are most incremental, what engagement benefits are you seeing? And any quantification on the click through or bounce rates would be very helpful. Thank you.
Matt Goldberg: Yes. And so, again, we're doing a rigorous amount of testing as we roll out these enhancements. The idea here is to start with the consumer and to think about what is the consumer experience we want to deliver when they arrive on our site. So we've made some changes to the app homepage to make it more effective and bring users into the experience. Elevating the search bar being more deliberate about driving qualified traffic. Because in the end, it's really about giving the consumer that experience that translates to engagement that will deliver a highly qualified traveler to our partners and really drive monetization. This is just the beginning of the work that we're doing there, and we're excited that we think our mobile product can be an essential in destination companion to help travelers make the most of our trips. And so what I would say about quantification is, while I don't want to put numbers out there earlier, every category that I talked about where we're seeing changes was meaningful. And areas that we think we can lean into and drive for long term improvement. We're seeing some stuff in our shopping experience as well, both experiences and hotels. Where we're also, we did some changes to the hotels product detail page, which were some of the most significant changes we did in the last five years. And again, we saw increased user engagement with the page and that really meant a more qualified hotel shopper, which makes that traffic even more interesting to our partners. And again, that'll play through meta media and the kinds of marketplaces that we want to put in place. And then of course, in experiences shopping, some of the changes that we did to the product detail page made it a richer, more comprehensive page and we saw meaningful improvements there. And so when we see increased investment and again, decreased bounce rates, we're really excited. Now, the one thing I will say, and maybe quantify just a little bit, we're still very focused on users wanting to come to our pages and leave reviews. And so we made improvements to our writer review form to drive more review and photo submissions and the change and what we did with those pages and rolled out with both hotels and restaurants, we actually saw double digit increases in both review completion rates and photo uploads for both hotels and restaurants. And so these are big, meaningful improvements that go right to the heart of our strategy. So we're really excited about it, and we're going to lean into that and share more as we go forward.
Operator: You the next question comes from the line of Kevin Kopelman of TD Cowen.
Kevin Kopelman: Great. Thanks a lot. Could you touch a little more on that seasonal uptick that you're seeing in Core revenue to start Q2, which looks pretty strong?
Matt Goldberg: I'm sorry, Kevin, did you say on Core? Couldn't hear you.
Kevin Kopelman: Oh, sorry. The seasonal uptick in the Core revenue, which looks pretty strong, at least if you track it relative to 2019, for example.
Matt Goldberg: Yes, I think the seasonal uptick I'm sorry, you were referring to Q2, correct? Yes, got it, okay.
Kevin Kopelman: Sorry. Yes, to start second quarter, like what you're seeing in April.
Matt Goldberg: Oh, yes, okay. Yes. So I would say a couple of things in April, we still saw good growth, but we are expecting that to come down pretty dramatically, right, as we move into May and June, which we hit our very tough comp areas. So what I talked about on the call was as we move through that lapping period for example, both in Core and auction, and Core, we're expecting volumes to come down on a year-over-year basis pretty meaningfully, and pricing to come down as well, but to a lesser extent. So again all this was very much in our, as we saw the year shaping very much in the year. I think for experiences at Core, we're expecting a similar type of not similar to the auction, but similar in terms we think about Viator, very strong growth in April, but we do expect a step down as we move through those really tough compare months in May and June. So I don't want to overstate the April piece, but yes, I think that there's a tougher comp there in May and June.
Kevin Kopelman: And then just on Viator, could you give us a sense of the GBV growth in April, just to give us a better sense of how that's tracking?
Mike Noonan: Yes, it's a good question. We have been given approximations on GBV, Kevin, and some of that is just felt maybe a bit competitively, sensitive. We are evaluating, as we move forward, giving much more specifics on that GBV number of which then you'll be able to calculate very specifically growth rates. So that's why I want to avoid about a specific growth rate. I did want to point out, though, that when you think about these approximations, that growth rate is lower on a year-over-year basis than the revenue due to the take rate improvement year-over-year. But that's the reason why we give them the approximations for now.
Kevin Kopelman: Got it. And then just a housekeeping. You mentioned one time cost offset at TheFork in Q1, I think in COGS, I think how large was that?
Mike Noonan: Was about, yes, we didn't quantify that, but it was just related to a contract renegotiation. Yes, it's fairly small, but meaningful for TheFork margin.
Operator: The next question comes from the line of Dan Wasiolek of Morningstar.
Dan Wasiolek: Hey, good morning, guys. Thanks for taking my question. Just on the Viator and TheFork brands, it seems that there's a lot of underappreciated value on those, and I know in the past that there had been talk about crystallizing the value of those. Is that something you guys are still considering or thinking about? And if so, what would need to transpire to kind of start to maybe communicate that message? Thanks.
Mike Noonan: Yes, it's Mike. I think that probably most of that relates to Viator and I think previously communicated thoughts around potentially spinning that out. I'd say a couple of things and this is really reiterated what we said in our February call. We are very much focused on the experience category and how do we maintain and grow leadership in this business, in the space. I think as such, we're not really focused on what that, how to execute that. I think some of that is in the market itself today. The markets kind of, the way they are, it's just not an area we're very focused on. That being said, we're not removing anything from a realm of possibility. It's just not where our area of focus is. And we're much more focused on how do we manage the Viator, how do we manage Tripadvisor Core and what they're doing experiences to really create wider and deeper modes and experiences. But we'll always be open to ideas of thinking about this.
Matt Goldberg: And I just wanted to add, Dan, I agree with you. There's underappreciated value there. And what we're really focused on is making sure that we drive the fundamental underlying improvements in those businesses that ultimately over the medium to long term, we really do crystallize through the performance of the business. And that's why we're super excited about the work that's happening at Viator, around the product and around our ability to invest and see improving consumer engagement and unit economics. And we're driving TheFork towards profitability. That is our plan to, in the back half, really start to see TheFork hit a much better margin profile than we've seen in the past. So we're focused on the underlying operations of those businesses most specifically.
Operator: The next question comes from the line of Tom White of DA Davidson and Co.
Unidentified Analyst : Hey, this is [inaudible] on for Tom. Thanks for taking our questions. I just have a quick one here. I was hoping you could provide an update on Viator’s partnership with Uber, which I believe was announced late last year. Curious if that's been needle mover for Viator in any meaningful way or if it's on track as well.
Matt Goldberg: Yes, I don't know that we would specifically call out any single relationship, but what I can say is that Viator's strategy to make sure that we are connecting to the best points of sale for experiences is working. Obviously, Tripadvisor is doing a great job as a storefront for Viator and really driving meaningful growth, but also, the many, many other third parties that we connect to are driving growth in that business as well. And so what I would say is, overall, that strategy is paying off. Thanks for the question. At this time, I would like to turn the call back over to Matt Goldberg for further comments.
Matt Goldberg: Thank you all for joining us today and for your questions. As you can see, we're excited to continue to execute on our plans, and as we approach midyear, we look forward to sharing more about our progress in the next quarter. Thank you all.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.